Operator: Good morning. My name is Mariana and I will be your conference operator today. At this time, I would like to welcome everyone to the AGCO 2017 Second Quarter Earnings Release Conference Call. I would now like to turn the call over to Greg Peterson, AGCO Head of Investor Relations. You may begin your conference.
Greg Peterson - AGCO Corp.: Thanks, Mariana, and good morning. Welcome to all of you joining us for AGCO's second quarter 2017 earnings conference call. We will refer to a slide presentation this morning that is posted on our website at www.agcocorp.com. The non-GAAP measures used in this slide presentation are reconciled to GAAP measures in the appendix of the presentation. We'll also make forward-looking statements this morning, including demand, product development and capital expenditure plans and timing of those plans; acquisition, expansion and modernization plans; and our expectation with respect to the costs and benefits of the plans and the timing of those benefits. Production levels, share repurchases and our future revenue price levels, earnings, cash flow tax rates and other financial metrics will be discussed. We wish to caution you that these statements are predictions, and that actual results may differ materially. We refer you to the periodic reports that we file from time to time with the Securities and Exchange Commission, including the company's Form 10-K for the year ended December 31, 2016 and the subsequent Form 10-Qs. These documents discuss important factors that could cause the actual results to differ materially from those contained in our forward-looking statements. We disclaim any obligation to update any forward-looking statements, except as required by law. A replay of this call will be available on our corporate website later today. On the call with me this morning are Martin Richenhagen, our Chairman, President and Chief Executive Officer; and Andy Beck, our Senior Vice President and Chief Financial Officer. With that, Martin, please go ahead.
Martin H. Richenhagen - AGCO Corp.: Thank you, Greg, and good morning, everybody. We appreciate everyone joining us on the call this morning. My comments start on slide three, where you will find a summary of our second quarter and year-to-date results, which reflect both sales and earnings goals in the second quarter. In addition to the second quarter improvement, we're also increasing our full year adjusted earnings outlook to $3 per share. While global industry demand remains relatively weak, we are continuing to see stabilization as some farmers are returning to more normal replacement schedules. AGCO's second quarter sales were up over 8% and our adjusted earnings per share increased nearly 13%. AGCO's financial performance also reflects the benefit of our efforts to reduce expenses, improve the efficiency of our factories and launch new products. The quarter was highlighted by the strong performance of our Europe and Middle East segment, EME. Sales increased 13% on a constant-currency basis compared to the second quarter of 2016, and operating margins reached 13.6% in that region. Higher demand and margins in Europe are also driving our increased outlook for the full year. Our long-term industry view remains very positive. In addition to the dividend cost management needed to achieve our 2017 targets, we will be concentrating on initiatives that will drive long-term benefits and raise the efficiency of our factories, improve our service levels and strengthen our product offerings. Slide four details industry unit retail sales results by region for the first half of 2017. With much of the growing season still in front of us, summer weather conditions will be the major influence of yields across the key US crop production states. Despite the challenging start to the growing season, the USDA is estimating global grain inventories will rise during 2017, maintaining some pressure on commodity prices. As shown on this slide, we experienced modestly softer industry equipment demand in Europe and North America in the first half of 2017. North America industry sales were down due to ongoing margin pressure for farmers in the row crop sector. Industry sales of high-horsepower tractors, hay equipment and grain storage and handling equipment remained below last year's levels. Industry retail sales in Western Europe declined modestly compared to 2016 levels. Profitability is improving for dairy producers, while lower commodity prices have kept market demand soft from the arable farming segment. Sales declined most significantly in France from high levels in the first half of 2016, which were stimulated by tax benefits. Growth in the United Kingdom, Spain and Italy offset most of the decline in the French market. Industry retail sales in South America increased during the first six months of 2017 as demand in Brazil improved significantly from depressed first half levels experienced last year. More supportive government policies in Argentina also continue to stimulate industry growth. AGCO's 2017 production schedule for factory production hours is shown on slide 5. Production increased in Europe and South America in response to increased demand in those regions. We lowered production in North America in the first half of 2017 versus last year's level in order to reduce dealer inventories. We expect total company production to be up approximately 3% for the full year versus 2016. Globally, our order board for tractors is up at the end of June 2017 compared to the end of June 2016. Orders were higher in Europe, relatively flat in North America and South America. And now, I will return the call over to CFO, Andy Beck, who will provide you more information about our second quarter results.
Andrew H. Beck - AGCO Corp.: Thank you, Martin, and good morning to everyone. I will start on slide six, which looks at AGCO's regional net sales performance for the second quarter and first six months of 2017. AGCO sales increased approximately 11% compared to the second quarter of 2016, excluding the negative impact of currency translation. AGCO benefited from the impact of acquisitions, which increased sales by approximately 2% and solid growth in all regions outside of North America in the second quarter of 2017 compared to the second quarter of 2016. The Europe/Middle East segment reported an increase in net sales of approximately 13%, excluding the negative impact of translation compared to the second quarter of 2016. Excluding acquisition-related sales of about $39 million, Europe/Middle East sales were up about 9%. Sales growth was the strongest in the United Kingdom, Germany and Italy. North American sales decreased approximately 3%, excluding unfavorable impact of currency translation during the second quarter of 2017 compared to levels experienced in the second quarter of 2016. The largest declines were in hay tools and grain storage equipment. These declines were partially offset by increased sales of mid-range and high-horsepower tractors. AGCO's second quarter 2017 net sales in South America increased approximately 18% compared to the second quarter of 2016, excluding positive currency translation impacts. Market demand in Brazil improved from very low levels in the second quarter of 2016 and sales in Argentina were up sharply. Net sales in our Asia/Pacific/Africa segment increased about 31% in the second quarter of 2017 compared to 2016. Excluding the negative impact of currency translation and excluding the positive impact of acquisitions of approximately $4 million, significant sales growth in China and Australia accounted for much of the increase. Part sales were $355 million for the second quarter of 2017 and were up about 5% compared to the same period in 2016, excluding the negative impact of currency translation. Slide 7 details AGCO's sales and margin performance. Our second quarter results were highlighted by improved operating margin performance across all regions compared to the same period in 2016. Higher sales and production and our ongoing efforts targeted at labor productivity and material cost as well as continued focus on SG&A expenses, all contributed to the margin improvement. Europe/Middle East segment reported an increase of about 130 basis points in operating margins from the second quarter of 2016. The benefit of higher sales and production in addition to a richer mix of sales produced most of the increase. Despite lower sales, North America operating margins improved modestly in the second quarter of 2017 compared to the same period last year. Cost reduction initiatives offset the negative impact associated with lower sales and production. Operating margins were positive in our South America region in second quarter of 2017. The benefits of higher sales and production were mostly offset by material cost inflation and costs associated with transitioning to the new tier 3 emission technology. Operating margins in our Asia/Pacific/Africa region improved due to increased sales levels. Slide 8 details GSI sales by region and by product. GSI sales were up about 20%, excluding currency impacts, but including the benefit of acquisitions for the first half of 2017 compared to the same period in 2016. Excluding the positive impact of acquisitions, GSI sales were down approximately 2% on a constant currency basis. Organic growth in sales of protein production equipment is being offset by lower grain and seed equipment sales. GSI sales are expected to reach $1 billion in 2017. Slide 9 looks at investment through both capital expenditures and research and development. We're continuing to make strategic investments to refresh and expand our product lines, upgrade our system capabilities and improve our factory productivity. Despite the challenging demand environment, we intend to increase the level of investment to execute our product development plans, resulting in increased CapEx and engineering spend in 2017. Our spending plan in 2017 is needed to maintain our competitiveness and to support the long-term growth of our business. Slide 10 addresses AGCO's free cash flow, which represents cash used in operating activities less capital expenditures. Our seasonal requirements for working capital are greater in the first half of the year and thereby, resulted in negative free cash flow in the first 6 months of 2016 and 2017. We expect an inventory decrease in South America during the second half of the year, as we sell down our tier 3 emissions transition stock. After covering spending on our strategic investments, we are targeting another strong free cash flow year for 2017. Also, at the end of June 2017, our North America company and dealer inventories were lower than a year ago. The dealer month supply on a trailing 12-month basis was lower by about 1.5 months versus a year ago. As we focus on returns for shareholders, we expect to make cash distributions an important component of our long-term capital allocation plan. Over the past three years, we've executed share repurchases of $1 billion, which has had the effect of reducing our share count by approximately 20%. Our board of directors approved a $300 million program that expires in December 2019. Our current plans are to assimilate our recent acquisitions this year and then accelerate the program in 2018. As we've demonstrated in the first quarter, we're also committed to responsibly growing our dividend in the coming years. We expect to fund these programs with operating cash flow. Our 2017 outlook for the three major regional markets is captured on slide 12. Our 2017 forecast has increased modestly for Western Europe. In the United States, the USDA estimates that farm income will be down again in 2017, and we expect 2017 to be another challenging year with sales down approximately 5% to 10% compared to 2016. The large agricultural equipment sector in North America is expected to be the source of the decline. In Brazil, improved terms for the government financing program has been positive – a positive factor, but political uncertainty is still influencing demand. Further improvement in the Argentina market is expected from 2016 (15:02) levels, as more farmer-friendly government policies and healthy crop production has stimulated demand. Our South American industry forecast assumes industry – the industry volume will be flat for the second half of the year, resulting in an increase of approximately 15% for the full year. Lastly, we expect the Western European market to be fairly flat, as farm income remains under pressure in 2017. Improving demand from the dairy and livestock sector, it's expected to be offset by continued weakness from the cereal producers. Slide 13 highlights the assumptions underlying our 2017 outlook. Our 2017 forecast assumes growth in South America and Asia, partially offset by softer industry demand across North America. Our plan includes market share improvement with price increases of approximately 1.5% on a consolidated basis. At current exchange rates, we expect currency translation to be relatively neutral. Acquisitions are expected to increase sales by about 2%. In 2017, engineering expenses is expected to increase about $15 million compared to 2016. Operating margins are expected to be – to improve by about 100 basis points due to the benefit of our increased sales and production, our fixed cost reduction efforts, as well as continued progress on productivity and purchasing initiatives. We are also targeting an effective tax rate of approximately 37% for 2017. Slide 14 lists our view of selected 2017 financial goals. We're projecting 2017 sales for the full year to be in the $8 billion range. We expect growth in operating margins to be improved from 2016, reflecting higher volumes and the positive impact of our cost reduction efforts. Based on these assumptions, we're targeting 2017 adjusted earnings per share of approximately $3 per share. We expect capital expenditures of $200 million to $225 million and free cash flow range from $225 million to $250 million. And finally, we expect our third quarter earnings per share to be about $0.65 to $0.70. And with that, operator, we're ready to take questions.
Greg Peterson - AGCO Corp.: Greg here again. Let's also – I also would like to ask the participants to limit themselves to one question and one follow-up. Thank you.
Operator: Your first question comes from the line of Joel Tiss with BMO Capital Markets.
John Joyner - BMO Capital Markets (United States): Hey. How is it going? This is John Joyner for Joel.
Andrew H. Beck - AGCO Corp.: Hey, John.
John Joyner - BMO Capital Markets (United States): Hey. So, I guess, can you talk about any kind of pent-up demand in Europe, following kind of several years of being flat to down. And if you look at some country kind of specific overhang, such as elections and sanctions, it just feels like things are – should start to look better, really kind of heading into next year as well?
Martin H. Richenhagen - AGCO Corp.: Well, I think when you look at Europe, as we said, we think it will be overall kind of flattish 2017, but certain markets which do better than others. We do not know exactly what the politics of the new French administration will be, but we are in good relationship with the President, because he is a former Massey Ferguson intern, and he worked at our Beauvais factory. So that means he has the ride back on to be successful. The sanctions are mainly related to Russia and Europe, and they don't affect us too much, because the product we sell in Russia is localized and is made in Russia mainly. So therefore, we are optimistic that this market will be a stable contributor also in the future. So when it comes to next year, it's a little early to know, but I would be slightly optimistic that after, also then the election in Germany, which will happen in two months, Europe could grow again.
John Joyner - BMO Capital Markets (United States): Okay. Thank you very much. And then also, maybe on South America. I mean, I'm not looking for a forecast, but even there, even if you assume this year being up 15%, I mean, I believe we're still about 35% or so below 2013 levels. And there, again, it seems like the strength kind of should continue to unfold?
Martin H. Richenhagen - AGCO Corp.: Yeah, we think that South America will come back. It needs to come back, because farmers need equipment. And the overall situation in Brazil, I think, should finally improve or stabilize.
John Joyner - BMO Capital Markets (United States): Okay. Thank you.
Operator: Your next question comes from Andy Casey, Wells Fargo. Your line is open.
Andrew M. Casey - Wells Fargo Securities LLC: Thanks a lot. Good morning.
Martin H. Richenhagen - AGCO Corp.: Good morning.
Greg Peterson - AGCO Corp.: Good morning, Andy.
Andrew M. Casey - Wells Fargo Securities LLC: If we could go back to South America, and then I have a question on North America after that. But in South America, there's been some discussion about elevated inventory, specifically in the chemical channel. I know that's not directly related to what you do. But I'm wondering if the weaker farmer spending, if you're seeing any of that leading to higher inventories than you expected at this point of the year and that's contributing to incremental inventory drawdown in the second half?
Martin H. Richenhagen - AGCO Corp.: It's a great question for CNH, but not for us, Andy.
Andrew H. Beck - AGCO Corp.: So in terms of – we track dealer inventory in South America. Our dealer inventory is up somewhat in the first half from the end of this year – end of first half versus the end of first half last year. We are seeing the overall industry inventory be a little higher than what we expected. So I think a lot of that's probably around the tier 3 transition introduction. A lot of those products are being introduced, particularly for AGCO, and here in the second half of the year. And so I believe that the inventory will get corrected. And at least from an AGCO point of view, our inventory should come down well here in the second half of the year.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thank you. And then, if we could turn to North America, there's been several years of kind of trailing concern about the used equipment inventory, and you guys have done a good job in pulling down your inventory as communicated in the month and half decrease. Are you thinking that we're getting to the end of this used equipment inventory overhang, or where do we kind of stand at this point?
Martin H. Richenhagen - AGCO Corp.: Well, some of our competitors have a completely different business model. And for them, it might still be a problem also in the future, because they finance most of the equipment and they announced that they want to finance even more in the future, which means that as soon as the market is down, they are sitting on all the used, because it's coming back somewhat automatically at the end of the lend or leasing program. So our business is – our business model is slightly different. We still believe in selling equipment for cash. And so we are very successful in this, but we're also the smaller player.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thank you very much.
Operator: Your next question comes from Larry De Maria, William Blair. Your line is open.
Larry T. De Maria - William Blair & Co. LLC: Hi. Thanks, good morning. Just, I guess, a follow-up on last question. Is it safe to say, with your underperformance this year that if North America is flat next year, your inventory would be in shape and you would not have to under-produce next year in North America?
Andrew H. Beck - AGCO Corp.: Larry, I'd say, we'll be a lot closer. I think we'll, obviously, have to see where we are at the end of the year, also see where the industry forecast is for next year. Those will be key drivers of what we'll do. I would expect there'll be some pockets that we'll still be working on, but I think we'll be in a lot better shape by the end of this year.
Larry T. De Maria - William Blair & Co. LLC: Okay. Thank you. And then can you discuss the Precision Planting acquisition you announced. What kind of financials around that and the strategic implications from your perspective?
Martin H. Richenhagen - AGCO Corp.: Well, strategically, this puts us in the position to be the global leader in seeds and seeding technologies. It's basically complementary to the product range we already have and to the White Planters here in the U.S. And financially, I hand over to Andy.
Andrew H. Beck - AGCO Corp.: Yeah, this business, as you probably know, is more of an aftermarket business. And so our expectation and plan will be to continue to have this business be run somewhat independently, maintaining all of its existing channels that it has today. And we also believe that we can help grow this business internationally. The sales for this fiscal year will be around $115 million, and their EBIT this year will be in the $16 million to $17 million range.
Martin H. Richenhagen - AGCO Corp.: So that means strategically, we do not plan any major head count reductions. They have a super team. We know the people. They are very skilled. And this is a added value for us, because this area of business is not where we typically were very strong at in the past. And the synergies come pretty much from revenue growth and from taking that business also more global.
Larry T. De Maria - William Blair & Co. LLC: Okay. Very good. Thank you very much.
Operator: Your next question comes from the line of Seth Weber from RBC Capital. Your line is open.
Emily McLaughlin - RBC Capital Markets LLC: Good morning. This is Emily McLaughlin on for Seth. Just wondering if you can comment on some of the pricing trends you're seeing in various regions, especially since you've lowered the outlook to the lower end of your prior range?
Andrew H. Beck - AGCO Corp.: Well, in terms of – I'll let Greg do that.
Greg Peterson - AGCO Corp.: Yeah, sure. So Emily, I think, you've seen on our slides that we're looking for 1.5% globally. And not surprisingly, we'll look for more than that in Brazil. We have some tier 3 emission changes going on and with that some additional cost, and some additional pricing. And so then both Europe and North America will be less than that 1.5%. But going forward, I would say, we've seen mostly responsible pricing in the marketplace. And so we're looking to get that 1.5%.
Emily McLaughlin - RBC Capital Markets LLC: Great. Just a follow-up. Have you seen any change in the competitive landscape in Europe, given some of the acquisitions that competitors made in the space recently?
Andrew H. Beck - AGCO Corp.: No.
Emily McLaughlin - RBC Capital Markets LLC: Okay. Great. I'll pass it on. Thanks, guys.
Greg Peterson - AGCO Corp.: Thanks, Emily.
Operator: Your next question comes from the line of Jamie Cook from Credit Suisse. Your line is open.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Hi, good morning, and nice quarter.
Martin H. Richenhagen - AGCO Corp.: Good morning.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: I guess, two questions. One, Martin, I think, you commented in the prepared remarks that the European order book was up, and I think you're saying sales should be relatively flat. So can you just give a little more color on the order – exactly, how much the order book is up relative to your guide? And how do we sort of think about incremental margins, as Europe is improving with some of the restructuring actions you've taken broadly? And then my second question, just on South America. It sounds like you're putting some price increases through there, the market is good. I'm just wondering when we should start to see – how we should think about margins at year-end and when we should start to see margins inflecting higher, given this is one of your highest market share regions? Thanks.
Martin H. Richenhagen - AGCO Corp.: Jamie, I hand it over to Andy, because he's by far more skilled than I am.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: I don't believe that for a second, Martin, but I'll take Andy's answer.
Andrew H. Beck - AGCO Corp.: But I do have the charts in front of me. So, Jamie, in terms of Europe, as you said, that was our market forecast for the market to be relatively flat. We are looking for our Europe/Middle East business sales to be up year-over-year. We've got some new products in the high-horsepower range that are doing quite well. And so we expect to have those sales be up this year. So that's probably where you're seeing that.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Andy, how much specifically is your order book up?
Andrew H. Beck - AGCO Corp.: Our order book is up double-digits right now.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: And you expect your sales up double-digit?
Andrew H. Beck - AGCO Corp.: We didn't say the number.
Martin H. Richenhagen - AGCO Corp.: We didn't say the number. So it's up substantially, I would call it. And you know us – so because of the – we are not really the best in our industry to forecast market developments all the time, certainly not during the last recession. And so therefore, we are a little bit conservative and you know that this is pretty much where we want to be.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay. Thank you. And then, sorry, just on South America margins and when we should start to see that accelerating more?
Andrew H. Beck - AGCO Corp.: Yes, Jamie, and we're hoping to see and expecting to see the South American margins improve from where they are in the first half in the second half of the year. Some of that comes with higher sales volume. We're seasonally higher in the second half of the year, so that gives us more leverage over our costs. And we also have a lot of new product introductions, as I mentioned before, here in the second half of the year. So we expect sales to continue to be up and our margins to be over 4% to 4.5% of sales in the second half.
Martin H. Richenhagen - AGCO Corp.: We are sure that we will walk the industry with our new combines.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay. I appreciate the color as always. Thank you.
Operator: Your next question comes from the line of Ann Duignan from JPMorgan. Your line is open.
Ann P. Duignan - JPMorgan Securities LLC: Hi. Good morning, guys.
Martin H. Richenhagen - AGCO Corp.: Good morning, Ann.
Ann P. Duignan - JPMorgan Securities LLC: Good morning. Martin, can you just talk about this notion that next year could be flat in North America? If current crop conditions prevail, both – across wheat, beans and corn and current prices – futures prices prevail, is there any way to even conceptualize that next year could be flat? Won't it have to be down if cash receipt to net income...
Martin H. Richenhagen - AGCO Corp.: I wouldn't think it's down. I could imagine that even this year it could end up being more flat than down. And so the next year, I would not be surprised if we could see a slight positive trend.
Ann P. Duignan - JPMorgan Securities LLC: Even if current conditions prevail and cash receipts are down?
Martin H. Richenhagen - AGCO Corp.: Yeah, because of the – let's say, if everything works out as scheduled, maybe commodity prices are not very excited, but the volume will be big. So therefore, I think it depends a little bit on what segments you talk about. But I think the arable farmers will do okay.
Ann P. Duignan - JPMorgan Securities LLC: Okay. I'm not sure that in current conditions, the volumes are going to be up. So...
Martin H. Richenhagen - AGCO Corp.: But you look at the world with your Irish background and I'm more optimistic.
Ann P. Duignan - JPMorgan Securities LLC: That is true. That is true. We're always the worry hogs. Talking about...
Martin H. Richenhagen - AGCO Corp.: I met the Commissioner of Agriculture in Brussels, who is an Irishman. I don't know whether you have met him, so impressive guy.
Ann P. Duignan - JPMorgan Securities LLC: Yes. They say that he was responsible – solely responsible for pulling off the deal between Europe and Japan. So, I do know him. Anyway, switching gears a little bit more then to Europe and the dairy side. I mean, dairy prices are better right now, but primarily on intervention. What's your opinion of what happens to dairy prices once all that warehoused product comes back into the market and has to be absorbed? Could we take a step down in dairy prices in 2018?
Martin H. Richenhagen - AGCO Corp.: Yeah, so the warehouse situation is that they are on historical high levels, and they basically usually turn everything into low-fat powder. And the reason why they do low-fat is storage. So if you have too much fat content, it doesn't – it can't be stored as long. So – but this certainly is an issue. And the question is what will be the solution, because if you just wait for the normal market demand in that area, this could take years to get it basically winded down. So that will be interesting to see and we are in close contact to some of the Secretaries of Agriculture. So I think everybody wants to fix it, but I'm not so sure when that will really happen. What you can see is that a lot of markets basically reduced their herds, like part of Germany. So that might be a substantial change. But it's very difficult to understand this market. We don't rely too much on this market. It's typically – those are markets which use smaller equipment. And so with the exception of maybe Bulgaria and Austria, where we have high market shares. But there, most of our customers are in the bio-milk business. So that means they do get completely different conditions than the normal guys.
Ann P. Duignan - JPMorgan Securities LLC: Okay. I appreciate the color, Martin. I'll get back in the line in the interest of time. Thanks.
Martin H. Richenhagen - AGCO Corp.: Thank you, Ann.
Operator: Your next question comes from the line of Ross Gilardi from Bank of America. Your line is open.
Ross Gilardi - Bank of America Merrill Lynch: Yeah. Good morning, guys.
Greg Peterson - AGCO Corp.: Good morning, Ross.
Ross Gilardi - Bank of America Merrill Lynch: Can you remind us which acquisitions that you have – or that are pending other than Precision Planting that are not factored in your guidance right now? And I think this Kepler Weber business that you're bidding for in Brazil, I think, yeah, the stock price is actually above where you bid. So what's the prognosis there?
Andrew H. Beck - AGCO Corp.: We have three acquisitions that have not closed yet, that are in progress. The one that we talked – we announced yesterday, Precision Planting that we've already talked about, that should – we're hoping to get that closed at the end of August. The Lely acquisition, which is balers and hand-forged equipment in Europe, that business we expect to close beginning of the fourth quarter. And that should be a good business for our European operations going forward. And then as you mentioned, we did announce that we had an agreement with the largest shareholder in Brazil – in Kepler Weber in Brazil. That is a grain storage business. And we have been working through the competition approval processes and things like that. And the next step would be to initiate a tender offer. And we're working through that process right now and looking at the conditions to be able to do that. So that deal is not completed and not 100% going to happen. It will depend on how the investors accept our offer.
Ross Gilardi - Bank of America Merrill Lynch: Got it. Okay. Thank you. And then your margins in Europe are very impressive. And I think you broke out to a new high this quarter, if I'm not mistaken. Do you think you'll break 11% for the year this year? And are we – is Cimbria playing a big part of that? And are we, like – at a point where you're going to be at a structurally higher margin in EMEA?
Andrew H. Beck - AGCO Corp.: Yeah, Europe, our target would be to get to 11% this year. So that's an aggressive target but one we think we have a good chance of achieving. The drivers, I would say, probably Cimbria is helping somewhat. But more of the driver is around some of the cost reduction and restructuring activities that we've done in Europe to reduce the cost base as well as improvement in the mix of products. As I mentioned before, we've introduced some high-horsepower tractors in the market that have been very successfully received, and that's helping our mix as well in the European business.
Martin H. Richenhagen - AGCO Corp.: Margins is the most important focus area. And we want to be in our strategic target of 10% within the last – the next three years to five years. I would rather prefer to be within the next three years. With a little bit of tailwind from the market, I think we will get there soon. And you can see this quarter how important – let's say, how well we reengineered our business footprint. So that means with only a little bit more revenues, we already performed much better. So that is what I hope for.
Ross Gilardi - Bank of America Merrill Lynch: Thank you very much.
Operator: Your next question comes from the line of Jerry Revich from Goldman Sachs. Your line is open.
Jerry Revich - Goldman Sachs & Co. LLC: Hi. Good morning.
Martin H. Richenhagen - AGCO Corp.: Morning.
Greg Peterson - AGCO Corp.: Hi, Jerry.
Jerry Revich - Goldman Sachs & Co. LLC: Hi. I'm wondering if you could talk about in Europe, I know it's a less liquid used equipment market, but can you talk about the used equipment inventory levels and pricing levels that you're seeing at your dealers in Europe, are they as positive as the inflection we've seen in the order board? And also, on the European incremental margin point, so your incrementals, when you strip out the impact of acquisition were really impressive. And I'm just wondering were there any timing-related items that benefited this quarter, Andy? Or can we look forward to – as volumes move higher off of this trough, a period of 40% type incremental margins, like we saw this quarter, when backing out the impact of the acquisition?
Martin H. Richenhagen - AGCO Corp.: Dealer inventory levels in Europe are managed pretty well. So – and the problem is much smaller than in other markets. I don't know what you want to add to that, Greg.
Greg Peterson - AGCO Corp.: Right. So pricing has been relatively stable across Europe this year in terms of used pricing. We talked about our dealer inventories in Europe being significantly lower than just in a normal period than we carry in the U.S. The normal in Europe is two months to three months, and we're in that range, both on the new side and the used side. So yeah, I would say, we're – our inventories are trending in right direction in Europe.
Andrew H. Beck - AGCO Corp.: And on the E margin side, Jerry, there was no major unusual item or anything that drove those margins. As I said before, I think we had a stronger mix from new products. And again, some of the cost reduction effort helped us out. We did have more of a modest engineering expense, as you can see in the second quarter. And our engineering spend does pick up in the second half of the year and a lot of that expense is in Europe. So that will be somewhat impacting our incremental margins here in the second half.
Jerry Revich - Goldman Sachs & Co. LLC: Sure. Thank you.
Greg Peterson - AGCO Corp.: Jerry, when you normally think about our European margins, our incremental margins are – I think as we've talked about, high 20s, low 30s. And so that's kind of where we're thinking about as we go forward the rest of the year.
Jerry Revich - Goldman Sachs & Co. LLC: Okay. Thank you. And Greg, just as follow-up, you shared that used equipment inventory levels in Europe in terms of months of supply – or dealers. Can you give us the comparable number in North America, where does that stand today and what's the change in used inventories for your dealers in North America compared to three years, four years ago?
Greg Peterson - AGCO Corp.: Right. So we're – our inventories are down about 20% from where they were a year ago. Normal in the U.S., it was probably five months to six months versus that two months to three months that we see in Europe, and we're still a probably a month or so higher than we need to be. So that's where we're focused on as we talked about going through this year.
Jerry Revich - Goldman Sachs & Co. LLC: Thank you.
Operator: Your next question comes from Nicole DeBlase with DB. Your line is open.
Nicole DeBlase - Deutsche Bank Securities, Inc.: Yeah. Thanks. Good morning.
Greg Peterson - AGCO Corp.: Good morning, Nicole.
Nicole DeBlase - Deutsche Bank Securities, Inc.: Good morning. So on the guidance, you increased the EPS, but not free cash flow and I think CapEx stayed the same. So I'm just curious what's offsetting the higher net income in the free cash flow guidance?
Andrew H. Beck - AGCO Corp.: Yeah, we've – we think we'll have a little higher working capital than we had expected before, especially, with the timing of some higher sales in the fourth quarter. So some of – more of that will be hung up, we believe, in receivables. And so that's what's driving the kind of keeping free cash flow where we had a quarter ago.
Nicole DeBlase - Deutsche Bank Securities, Inc.: Okay. Fair enough. And then on material costs. You're taking down gross pricing to 1.5%, just the lower end of the range. I think last quarter, you talked about what net pricing was after material inflation. Has that changed much versus what you'd said in 1Q?
Andrew H. Beck - AGCO Corp.: No, it's not too much of a change, probably about 70 basis points or so positive.
Nicole DeBlase - Deutsche Bank Securities, Inc.: Okay. Thanks. I'll pass it on.
Operator: Your next question comes from Tim Thein with Citigroup. Your line is open.
Tim W. Thein - Citigroup Global Markets, Inc.: Thank you. Good morning. Just one question, actually, just on GSI. I'm curious if we can kind of get your latest thoughts there. And specifically, in North America, one of your smaller competitors, up in Canada had recently highlighted some improving order and quoting activity on the grain handling side. So I'm just curious, I know it's not the seasonally strongest time of the year for that business. But maybe just give us an update of what you're seeing in GSI in North America than maybe more broadly on a global scale? Thank you.
Andrew H. Beck - AGCO Corp.: Yeah, I do think that the conditions are probably a little better in Canada than in the U.S and we're stronger in the U.S. Our GSI grain business is down, I think about 6% or 7% in the first half of the year. And sales, so we're still seeing declines, they have moderated from what we saw in the last couple of years. That business, you have to keep in mind, is not only big silos, but it's material handling equipment, it's conditioning equipment. And some of the key drivers are how big the harvest is, how wet or dry the harvest is in order – that does impact demand and also, how much commercial projects there are out there. And what we're seeing is a weaker demand on the big commercial projects and then continued weakness in more the conditioning equipment. The silo business is not really what's driving some of the weakness right now. So again, as we said in previous quarters, we think it's going to move somewhat with the row crop tractor and combine business. So we continue to see that market being, I'd say, modestly down this year.
Tim W. Thein - Citigroup Global Markets, Inc.: Okay. And Andy, just a follow-up on an earlier question, on GSI and its contribution to Europe or the EME segment. Was that – we have about $8 million or $9 million of operating profit. Does that sound right for – just for the second quarter in terms of its contribution?
Andrew H. Beck - AGCO Corp.: The sales impact from the acquisition, it was about a little under $50 million, and the margins would have been probably in the 10% to 12% range.
Tim W. Thein - Citigroup Global Markets, Inc.: Okay. All right. Thanks a lot.
Operator: Your next question comes from Joe O'Dea with Vertical Research. Your line is open.
Joseph John O'Dea - Vertical Research Partners LLC: Hi. Good morning. You've mentioned some high-horsepower product launch in Europe contributing to a little bit of outgrowth in the quarter. I think that you also outperformed the market last year, and you've done so in the first half of this year. And so just looking for any additional details on the performance there beyond certain product launches, whether there's something by country mix, anything else from a timing perspective, but just to understand some of the execution there that seems to be trending ahead of the market?
Andrew H. Beck - AGCO Corp.: I think what we're seeing is very good results from our Fendt brand in Europe. Again, we introduced a new product called the X1000. And I think the – that created a lot of excitement, and I think that's trending into the rest of their product line. And so we're seeing good results there.
Martin H. Richenhagen - AGCO Corp.: I would like to add also that Fendt is just implementing their new strategy they launched some weeks ago, which is called Fendt 2020. And so this basically has a focus in the areas of new markets, market share in traditional markets and improved distribution. And I think we see the first results here, because they worked on that for quite a while.
Andrew H. Beck - AGCO Corp.: And we're also seeing improvement in our Valtra business, which is oriented towards Northern Europe. That's, I think, somewhat indicative of the improvement in the dairy sector. But also they have a fully refreshed product line as well and being well received by customers. So I think a lot of our product development efforts are coming through. And again, customers are accepting the products in a very good fashion.
Martin H. Richenhagen - AGCO Corp.: It proves that the strategy to basically invest in research and development pays.
Joseph John O'Dea - Vertical Research Partners LLC: That's helpful. I appreciate it. And then also, Martin, back on your comment about a 10% margin in kind of three years to five years. That comes roughly doubling where you are this year. When we think about end markets, you've been fairly active on the acquisition front, and some of that boosting Europe. But it looks like Europe revenues adjusted for currency are maybe 10% off peak. So really the biggest recovery would come from kind of lower margin regions like North America and South America. So when you think about that kind of revenue growth over a few years, how much of that is dependent on end-market recovery, how much of that is what you've got planned in some of the regions outside of Europe on the cost side that you can control?
Andrew H. Beck - AGCO Corp.: I think what we've been saying – I'll help here, is that, we think that we have the scale to – with all our other cost reduction efforts, if we can get our revenues to somewhere in the mid $9 billion range. And so that does mean a market recovery in North America. It means some recovery still in Europe as well, and then obviously, recovery in South America as well. So...
Martin H. Richenhagen - AGCO Corp.: Which also means it would still be more than $1 billion below the peak. So that means it's a kind of realistic scenario what Andy is talking about here.
Joseph John O'Dea - Vertical Research Partners LLC: Got it. Thanks very much.
Operator: Your next question comes from Adam Uhlman with Cleveland Research. Your line is open.
Martin H. Richenhagen - AGCO Corp.: Adam left to meet Eva.
Adam William Uhlman - Cleveland Research Co. LLC: Sorry about that. Good morning, everybody.
Andrew H. Beck - AGCO Corp.: Hey, Adam.
Greg Peterson - AGCO Corp.: Good morning, Adam.
Adam William Uhlman - Cleveland Research Co. LLC: Yeah, I was wondering if we could dig more into the South American outlook. Particularly, for the rest of the year, you had mentioned that Argentina has been really strong. I guess, do you expect any of that strength to fade through the rest of the year? And then, could you maybe just expand on what's happening with the different customers down in Brazil? Have you seen a pullback across your sugarcane customers at all are – maybe a little bit detail there would be helpful.
Martin H. Richenhagen - AGCO Corp.: I would like to start with Argentina. In Argentina, we basically see the positive side effects of the changed politics of the new administration and the new President. He is basically – he does basically what we tried to explain to Cristina Kirchner in previous years, which is that he is reducing step-by-step, the export duties for Argentinean farmers. And because he will – we will see more to come in the future, I would expect Argentina to come back to a position where they have been historically. We all should remember that Argentina, not so many years ago, was the world leader in beef. And so they lost that position and I think they have a good opportunity to get back. When it comes to Brazil, I think sugar is still a healthy business. And the sugar guys, they cope very well with cost pressure. And they talk about now using also the waste for what they call ethanol-2. So that means overall, I think that they are doing pretty well. And we have a strong position in that business. We added, some years ago, by the acquisition of a small family-owned business, a self-propelled sugarcane harvester. This technology has been improved. The quality has been improved. And we're working on more models also for the future, so that is an attractive niche we are active in now as well. And so overall, I think Brazil also has a certain demand, which comes from the normal catch-up and from the normal renewal cycles.
Adam William Uhlman - Cleveland Research Co. LLC: All right, understood. And then just a small detail. Of the revenue outlook for the year – congrats on the market share improvement. I guess, how much of your growth this year do you expect to be coming from outgrowth of the market?
Greg Peterson - AGCO Corp.: We typically model about 1% across the regions. We, in some cases, get more than that. In other cases, we won't quite get that. But that's what we model.
Adam William Uhlman - Cleveland Research Co. LLC: All right. Thanks.
Operator: Your final question comes from the line of Steven Fisher with UBS. Your line is open.
Steven Michael Fisher - UBS Securities LLC: Thanks. Good morning.
Andrew H. Beck - AGCO Corp.: Good morning, Steven.
Steven Michael Fisher - UBS Securities LLC: Martin, you mentioned in your comments and it was in the press release about some farmers are returning to more normal equipment replacement schedules. Can you just talk about what you think normal means, because I think it's probably been a number of years since we've seen anything that looks like normal. So is that pre-2010 normal, or is it a different kind of normal?
Martin H. Richenhagen - AGCO Corp.: Normal means everything between one year and maybe 10 years. So that means the more professional the farmer is and the more modern his management is, the shorter – or the faster he basically does renew his fleet. So modern farmers basically, typically keep their equipment for 1 year to 3 years, and then they have everything covered under warranty. They can predict all details of their equipment. And smaller family-owned businesses in areas like, for example, India, might keep their tractor for 20 years. I'm a good example. My wife has a Fendt tractor on her farm from 1952. So same age as I am, but works much better than I do. So these small guys basically use equipment, take very well care of it, but they are not really the guys we depend on.
Steven Michael Fisher - UBS Securities LLC: Okay. And then can you give a little more color on the flat North America order book, what part – what's up, what's down? And did the flat order book in South America surprised you, that it was only flat, given the trends we've seen in the market?
Andrew H. Beck - AGCO Corp.: Yeah, in terms of North America, as you point out that the order board does fluctuate by segment. And it also reflects kind of what was going on a year ago. So our orders are actually down in some of the low-horsepower segments, because we were building a big order booking in front of some new product introductions a year ago. And our orders are up in some of our high-horsepower tractor segment. So overall, we're pretty comfortable with where we are in North America orders. In South America, the order book, yeah, it's probably a little surprising that it is where it is. There was – again, there were some adjustment and some waiting that was going on because of the tsunami (54:43) announcement that was – we got about a month ago. So the market kind of trended down before that. And now we're starting to see everyone put orders back in. And so I think it's a little bit of timing as it relates to the order board in South America.
Steven Michael Fisher - UBS Securities LLC: Great. Thank you.
Operator: There are no further questions at this time. I will now turn the call back over to Greg Peterson.
Greg Peterson - AGCO Corp.: Thank you. And let me just thank all the participants today. I appreciate your interest in AGCO and encourage you to follow-up. If you have additional questions, we'll be here the rest of the day to take your questions. Thanks, and have a good afternoon.
Operator: This concludes today's AGCO 2017 second quarter earnings release conference call. You may now disconnect.